Operator: Thank you for standing by. This is the conference operator. Welcome to the Sierra Metals Inc. First Quarter 2024 Financial and Operating Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions]. I would now like to turn the conference over to Jean Pierre Fort Del Rio, Manager of Business Development and Investor Relations for Sierra Metals. Please go ahead.
Jean Pierre Fort Del Rio: Good morning, everyone. I'd like to note that this earnings call contains forward-looking information that is based on the company's current expectations, estimates and beliefs. Please review the slides and other forward-looking information contained in the company's annual information form, which is publicly available on SEDAR+ and on the company's website. The accompanying presentation for today's call is available for download from the company's website at sierrametals.com. Today's press release, the financial statements and the MD&A are posted on our website and on SEDAR+. Please note that all dollar amounts are mentioned in today's call are in US dollars unless otherwise noted. And lastly, I'll remind everyone that, starting in 2024, the company modified its definition of cash cost to include treatment and refining charges, selling costs, and onsite G&A. We think that this is a more accurate and more transparent way of reporting to the market. Now we can clearly identify the sustaining capital portion of the total costs. Following management's prepared remarks, a Q&A period will follow. Speakers on today's call are Ernesto Balarezo, our CEO, and Jose Fernandez-Baca, our CFO. And now, I would like to turn the call over to Ernesto.
Ernesto Balarezo: Thank you, Jean-Pierre. And good morning, everyone. Let me begin as we always do by discussing our company's number one priority, safety. As seen on slide 3, our focus is to continuously ensure we provide a workplace environment where all our employees and contractors are safe. This includes a continuous improvement approach to safety where we conduct regularly safety programs, safety inspections, and safety audits for all employees and contractors. This has been very well received by everyone throughout the company as we all recognize that being safe leads to a productive work environment. We released our first quarter 2024 production results on April 18 and our financial results earlier today. I will assume everyone has had a chance to review them, so I will not be going into detail, but we will instead provide highlights as seen on slide 4. On a consolidated basis, in the first quarter of 2024, our two operating mines, Yauricocha and Bolívar, produced almost 20 million copper equivalent pounds, which is a 21% increase from Q1 2023. This was from processing almost 640,000 tons of ore in the first quarter, which was 23% higher than in the same quarter a year ago. Breaking this down by metals, copper, silver, gold, and lead were respectively 36%, 10%, 19%, and 10% higher in Q1 when compared to the same quarter in 2023. At Bolivar, the mine achieved record metal production, while at Yauricocha, the mine continues to maximize production above the 1120 level. As a reminder, we obtained our permit to mine the massive ore body below the 1120 level on February 21st of this year. Development is on track to achieve full production by Q4 2024, which will allow Yauricocha to achieve full processing capacity of 3,600 tons per day, approximately 40% increase from current run rates. As a result of our strong Q1 production, we are reaffirming our 2024 guidance, and we continue to generate strong cash flows from our operations, further improving our financial position. More of this later from Pepe when he discusses our financial results. All in all, it was another strong quarter. Moving on to slide 5. As previously mentioned, it was a record quarter of metal production at Bolívar, as the mine continued its trend of quarter-over-quarter production increases. During Q1 2024, Bolívar produced 11.4 million copper equivalent pounds from nearly 8 million pounds of copper, more than 200 ounces of silver and over 4,000 ounces of gold. All metals produced in Q1 were significantly higher than in Q1 2023. The improved production from Q1 2023 to Q1 2024 was mainly driven by higher metal grades mined from the advancements in the mine development, which allowed for access to higher grade mineralized zones, including the Dulce zone. To date, exploration results in the high grade Dulce zone have been very, very encouraging. Cash costs and all-in sustaining costs for Q1 2024 were $2.44 and $3.12, respectively, per copper equivalent payable times. The increase in all-in sustaining costs in Q1 when compared to Q1 2023 is mainly driven by the increased development at the mine to access higher grade zones. Some of the initiatives undertaken in the last quarter that helped boost productivity included starting a new tailings dam project with dam number two under construction and engineering for dam number three currently underway; definition drilling which has enhanced operational predictability; and resumed construction of the integration tunnel, which will reduce haulage costs. We remain on track to meet guidance for 2024 at Bolívar. Turning to the Yauricocha on slide 6. Q1 operating results were better than Q1 2023, which is a direct reflection of the team's effort over the last 12 months to maximize output above the 1120 level. Now, having obtained a permit to mine below the 1120 level in February, the mine has started the development process to access this large ore body. I'm pleased to report that we are on budget and on track to achieve capacity of 3,600 tons per day by the fourth quarter of this year, a 40% increase from current run rates. For Q1 2024, copper and lead grades remain aligned with Q1 2023, but gold, silver, and zinc grades were lower. As anticipated, mining was primarily in the lower grade ore bodies, however, copper equivalent production remained in line with Q1 2023. We're expecting throughput rates, grades, and metal production volumes to improve as development below the 1120 level progresses. In the first quarter of 2024, Yauricocha had a cash cost per copper equivalent payable pound of $3.27 and an all-in sustaining cost of $3.69. The higher all-in sustaining costs in Q1 when compared to Q1 2023 is primarily a result of costs associated with development below the 1120 level. I won't take you through all the significant productivity and cost reduction initiatives that we undertook at Yauricocha during the quarter other than to highlight the following. Development below the 1120 level has started with a new mining contractor focused exclusively on the underground development. New mining equipment is on site and improved main ventilation and pumping infrastructure has been installed. All in all, the team at Yauricocha did a great job maximizing production and reducing costs where possible. We remain on track to meet guidance for 2024. As many of you have seen, on May 7th, we announced an updated NI 43-101 compliant mineral reserve and resource estimate for both Bolívar and Yauricocha. This estimate is the first one in over three years and, as shown on slide 7, highlights the significant amount of mineral reserves and resources we have on both our mines. The key here is the five plus years of proven and probable reserves life of mine at Yauricocha and the three plus years at Bolívar. Also, I'd like to highlight the 8 and 10 year respectively life of mine of measured and indicated resources. These are very compelling for the future of our mines as we continue to deliver long-term value for our stakeholders. Now over to Pepe to discuss our financial results.
José Fernández-Baca: Thank you, Ernesto. I will now provide some financial highlights of the first quarter of 2024. Consolidated revenue from metals payable of $63 million in Q1 was an increase of 18% from the first quarter of 2023. This is mainly a result of higher production at Bolívar. Cash flow generated from operations before movements in working capital was over $16 million for Q1 2024, resulting in another positive quarter of cash flows from our mines. Adjusted EBITDA of Q1 was 13% higher on the same quarter a year ago. The company's cash position as at March 31st was over $11.2 million. Overall, our robust operating performance has improved our financial position. As noted on this slide, our net debt to adjusted EBITDA ratio has steadily improved with our strong operations. On a trailing 12-month basis, we have quickly improved our net debt to adjusted EBITDA coverage to 1.3 times in Q1 2024, which is very manageable for us. A quick update on the ongoing and very productive talks with our lenders on our refinancing package. We expect the refinancing package will offer the company relief on its repayment schedule and financial covenants and help fund future growth initiatives. Our lender has been very strong partners and shown a tremendous amount of support for our achievements to date and for our growth plans. With two important milestones in hand, which are the updated mineral reserve and resource estimate and the permit obtained to mine below the 1120 level, we expect to announce a refinancing agreement in the coming weeks. Back to you now, Ernesto.
Ernesto Balarezo: Thanks, Pepe. Shifting now to another very integral part of our business, which is to partner with our local communities on important initiatives that benefit everyone. Shown on this slide are some images of the events and important initiatives undertaken this quarter in Mexico and Peru. We remain committed to ensuring safety, wellness, and environment, which are our top priorities. In closing, we see 2024 as a year to consolidate the optimization efforts that started in 2023 and to establish a platform for growth and long-term value creation. Amongst the many initiatives identified by the team to create value, let me highlight six of them. As already discussed, we have already achieved one key initiative for 2024 with the publication of an updated National Instrument 43-101 compliant mineral reserve and resource estimate for both our Yauricocha and Bolivar mines. Overall, our operations have a very significant amount of mineral reserves and resources that will provide the foundation for our ambitious growth plans at each mine. We already announced the receipt of the permit to mine below the 1120 level at Yauricocha on February 21st, 2024. Our focus is to mine efficiently all we can above the 1120 level and safely develop access below the 1120 level. We anticipate our production will increase to full capacity by Q4, thereby increasing our production rates by 40% from today's rates. At Bolivar, we will continue our project to phasing the expansion of our tailing facilities with the goal of having them up and running within three years. That expansion should increase production by 50% to 7,500 tons per day throughput from current rates. Corporately, our two 2024 priorities include refinancing our debt to be better aligned with our growth plans and to seek partners to help us uncover value from our large and prospective greenfield land packages in Mexico and Peru. So we expect 2024 will be another safe, busy and productive year while creating value for all our stakeholders. With that, I'll hand the call back to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions]. The first question comes from Bryce Adams with CIBC.
Bryce Adams: We got the new cost metric reporting underway. So this morning was my first chance to reconcile the new cost structure against our model. And we did okay. But I was wondering if you could please discuss unit costs at Bolivar and Yauricocha for Q1. That would be appreciated. I'm thinking of the mining, milling G&A costs, dollars per ton, not dollars per pound. So if you have some of those metrics available, it would be very useful.
Ernesto Balarezo: If I understood correctly, you want a little explanation on costs on Bolívar and Yauricocha, Q1 costs.
Bryce Adams: Yeah, mining costs per ton. Same for processing costs per ton. That would be very useful.
Ernesto Balarezo: I'm going to talk about all-in sustaining costs. In Yauricocha, you can see that we didn't do great, but we did okay considering that we were on top of the 1120 level where we have very little mineral, and it's expensive to access it. On top of that, in Yauricocha, we are developing below 1120 level, which is considered sustaining CapEx, so it's also included in the all-in sustaining cost. Breaking it down to mining – Pepe, you have the breakout of mining and mill costs?
José Fernández-Baca: Not in detail, but we can share with Bryce after the call.
Ernesto Balarezo: So we'll send you something, Bryce, after the call to see that breakup. In Bolívar, on the other hand, we did very good. You can see on the slide that it was a quarter of record production. So our costs, we continue to bring them down. And we see Bolívar with great expectations. We'll send you the detail on mining and mill costs as well. I don't have the numbers with me right now.
Bryce Adams: Do you have those numbers for the reserve update? Because I was hoping to get the actual results from Q1 and then compare it to the inputs that were used in the reserve update. But I actually didn't see the cost assumptions that were used for the mineral reserves to calculate cutoff grades, et cetera. Correct me if I'm wrong, I didn't see them in the press release, but would those inputs be available in the full filing that's going to come within the next five or six weeks?
Ernesto Balarezo: Absolutely, they will. We just published a summary of the results of the NI 43-101. The full reports, which are probably 100, 200 pages long each, will bring all that data and we will put them – they will be available for all of you guys.
Bryce Adams: And it will include the CapEx and taxes and the full economic analysis?
Ernesto Balarezo: Yes, yes, and the cut off rates and – yes.
Bryce Adams: Alright, so we're looking forward to that one. Maybe changing gears to the below 1120 levels. You highlighted development is on track. Can we dig into that a little bit more? If you're developing drives down there, are you developing in ore right now or you're still trying to access the ore zones? How's the ventilation down there? Is there vent work that needs to be done? What about ore loading? Is it all set up to load ore once you get into production? And when would you be looking to take the first blast in the cave to be at full run rate for Q4.
Ernesto Balarezo: I thank you for that question because this is going to clarify a lot of uncertainty. We already started the development below the 1120 level. We started that February 22nd of this year, one day after we got the permit. We have brought a new contractor, not to mess with the operation side of the mine, but to develop below the 1120 level. So it's like a new mine for us. We, for sure, are going to be mining at full capacity at 3,600 by Q4. In Q3, we'll probably start getting tons out of there. And we are going to invest around $2 million this year to get up and running our Yauricocha shaft, which is a world class shaft that was built two years ago and it only needs a couple of million dollars to get it up and running. All the minerals that we're going to take out of below the 1120 level is coming out through this shaft that is going to be available in Q3, up and running. I don't know if that answered your question.
Bryce Adams: It sounds quite advanced on all fronts. Ventilation is strong at those lower levels?
Ernesto Balarezo: Ventilation is good. We have the raised borders in place. We're getting better every day at ventilation and pumping as well. Infrastructure, it's being developed also, I mean electrical works below the 1120 level. So we have a very detailed plan. We are saying it out loud. By Q4, we will be at full production, 3,600 tons. Coming, most of it, 80% of those 3,600 tons are going to be from below the 1120 level.
Bryce Adams: If we go back a little while ago, maybe it wasn't on your clock, Ernesto, some of the previous management had talked about throughput at 5,000 tons or 5,500 tons a day. Is there still some thinking around achieving that or is that sort of just being car parked for now?
Ernesto Balarezo: Yeah, I wouldn't go into that. I have never said that. I know it was the previous management. Look, this is a new mine. During 2025, let us understand, operate safely this new mine below the 1120 level and probably I can tell you something in a year or so. But right now, 3,600 tons is going to be our throughput for the next year, year-and-a-half, for sure. I'm not planning on missing that.
Bryce Adams: Maybe I've got one last one for Pepe. So you've got the permit now and reserves have been stated for the first time in a couple years, three or four years. Are those the two big enablers for the balance sheet refinancing and what's the timeline on a potential market update on that topic?
José Fernández-Baca: As we mentioned, banks have been very supportive in all these past months and they were expecting us to announce the 43-101, which is something that we already did. And also, they were very expecting to have the permit of the 1120 that we also got. Now, we are finishing the discussions, and we are pleased to say that, quite soon, I would say in the following weeks, we will be announcing the refinancing.
Bryce Adams: Congratulations.
Operator: [Operator Instructions]. The next question comes from Jonathan Lee with Arias Resource Capital.
Jonathan Lee: Just a quick question. If I look at year-over-year between the private placement, the issuance of RSUs and DSUs, looks like it's roughly 29% to 30% increase in share count on a fully-digit basis year-over-year. Can you clarify how much of that, call it, 30% issuance on a fully diluted basis has been issued, whether it be from – to management insiders?
Ernesto Balarezo: We did issue that private placement. 10% of that private placement came from management. I don't know if that's what you mean by insiders.
Jonathan Lee: Yeah, just on an aggregate basis between the private placement, the RSUs, the DSUs, et cetera. Of the 30% of the issuance of shares in RSUs and DSUs, how much of it was – total, how much of it was issued to management board?
Ernesto Balarezo: Jean Pierre, can you help me with these? You have the numbers?
Jean Pierre Fort Del Rio: Yes, Ernesto. Not on the top of my mind at this point.
Ernesto Balarezo: Can we get back to you please with those numbers?
Jean Pierre Fort Del Rio: Everything is publicly available in SEDAR, but definitely we can help with some information.
Operator: There are no more questions from the phone line. I would now like to turn the conference back over to management to take questions received via email. Please go ahead.
Jean Pierre Fort Del Rio: We received a couple of questions. The first one was focused on the refinancing term. I believe Pepe already answered that one. And then we received another one, which is as follows. Ernesto, given that you now have a new mineral reserve and resource estimate, will you be publishing guidance beyond 2024?
Ernesto Balarezo: We won't be publishing guidance beyond 2024 at this point. We are happy with what we have accomplished right now. We want to understand below the 1120 level much better. We just finish up with our NI 43-101. So I'm not too eager to go and publish guidance beyond 2024. What I can tell you is that our guidance for 2024 looks solid.
Operator: There is one more question from the phone line. The next question comes from Hector Areliz with Rainbow Fund L.P.
Hector Areliz: First off, congratulations on all of the positive developments over the last couple of quarters. So, with regards to our questions specifically, I kind of wanted to get an idea in terms of how you're going to prioritize these new cash flows that you'll be generating, right? You'll be getting the additional upflow from Yauricocha. You in the past had talked about potentially looking for a third mine, and then on top of that you have the loan from the subsidiary, the approximately $85 million from Minera Corona up to Sierra Metals. So if you can help me better understand how you're going to prioritize either potentially doing some M&A activity, paying back the loan, can you help me understand how management is thinking about that?
Ernesto Balarezo: The best dollar spent in mining and the most profitable dollar spent in mining is in your own operations. So this company needs to work on its CapEx because it was on a sale process the last years, some CapEx was reduced. That is necessary. So what we are going to do is focus on our two main mines – Yauricocha and Bolívar – and we are going to try to catch up, and this is going to take us a few years, two, three years, with the CapEx that we need to invest in our operations. Regarding the M&A, there are two ways of growing, and you know in this business size matters. One is organically, and the other one is inorganically. Organically, we already – I think we've been very clear that we are going to prioritize our two main operations, Yauricocha and Bolívar. On the inorganic side of the growth, it's very hard to get something, to buy something that is value accretive for us. So we're looking. We're looking. We always receive calls. I think we have been proven, over the last quarters, that we are good turn arounders, we are very good operators. So we are looking for opportunities and hopefully we'll find something in the next year, two years, three years, that is value accretive for us. And we want to be ready. In order to find something, we have to look, look and look a lot. You know how this business is. It has to be value accretive for us. So that's what I've been saying in the M&A front. And the third leg of growth comes from our greenfield projects. And we need partners. We need big brothers. We have a porphyry in our hands in Yauricocha. A lot of money is needed to develop a porphyry. So we are in the process of finding a big brother. Hopefully in the next month, we can tell the market good news about it. And also in Mexico, we have more than 80,000 hectares of land, of seven greenfield projects that we also need big brothers to develop them. We're not going to use our funds to develop those. We need partners, JVs. On the portion of the debt, with this refinancing that is coming, some of this debt will be repaid to the Minera Corona, the Yauricocha company. So in the first release, when we announce that the refinance has been done, we'll explain how much of that debt will be reduced. And we are comfortable that we are going to give good results and good news to the market. I cannot go ahead and tell you anything more at this point, but it's coming in the next couple of weeks.
José Fernández-Baca: A few weeks.
Ernesto Balarezo: A few weeks.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Ernesto Balarezo for any closing remarks. Please go ahead.
Ernesto Balarezo: Thank you for taking the time to join us today and have a good day, everyone, and wait for more good news from Sierra Metals. Thank you all.
Operator: This concludes today's conference call. You may disconnect your line. Thank you for participating and have a pleasant day.